Operator: Good morning and welcome to the Kirby Corporation 2018 First Quarter Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note this event is being recorded. I would now like to turn the conference over to Mr. Eric Holcomb, Kirby's Vice President of Investor Relations. Please go ahead.
Eric Holcomb - Kirby Corp.: Good morning and thank you for joining us. With me today are Joe Pyne, Kirby's Chairman; David Grzebinski, Kirby's President and Chief Executive Officer; and Bill Harvey, Kirby's Executive Vice President and Chief Financial Officer. During this conference call, we may refer to certain non-GAAP or adjusted financial measures. A reconciliation of the non-GAAP financial measures to the most directly comparable GAAP financial measures is included in our first quarter earnings press release and is available on our website at www.kirbycorp.com in the Investor Relations section under Financial Highlights. Statements contained in this conference call with respect to the future are forward-looking statements. These statements reflect management's reasonable judgment with respect to future events. Forward-looking statements involve risks and uncertainties, and our actual results could differ materially from those anticipated as a result of various factors. A list of these risk factors can be found in Kirby's Form 10-K for the year ended December 31, 2017. I will now turn the call over to David.
David W. Grzebinski - Kirby Corp.: Thank you, Eric and good morning, everyone. I'll start my comments with a summary of the first quarter results in each of our markets and then turn the call over to Bill to walk through the financials in more detail. Following Bill's comments, I'll provide an update on our second quarter and full year guidance and then turn the call over to Joe Pyne for a few comments before questions and answers. Yesterday afternoon, we announced 2018 first quarter GAAP earnings of $0.54 per share. These earnings included one-time transaction fees and expenses related to Higman, other expenses related to non-cash costs associated with an amendment to our employee stock plan and some other costs associated with severance. Bill will comment on these items in more detail in a few moments. Without these items, our first quarter earnings would have been $0.67 per share, first quarter results compared to our guidance range of $0.45 to $0.65 per share and $0.51 per share reported a year ago in the 2017 first quarter. In the inland marine transportation business, we saw a positive change in market dynamics during the quarter. Spot market pricing increased approximately 10% to 15% compared to the end of 2017, and term contract pricing started to move slightly higher at the end of the quarter on a contractor too. Poor seasonal weather conditions reduced spot market barge availability, favorable prices for our customers, products and a few plant outages, all contributed to increased tank barge utilization in the mid-90% range for Kirby and we believe for the industry throughout much of the quarter. Operationally, our fleet was significantly challenged by the adverse weather conditions including ice on the Illinois River, high water on the Mississippi and Ohio rivers and heavy fog and wind along the Gulf Coast, which all reduced our efficiencies and our profitability. Although Higman did not contribute to the quarter's earnings, I'm pleased with how our team moved quickly and aggressively to integrate the Higman fleet during the quarter. Significant progress was made, and I believe the initial earnings drag from Higman in the first half of this year will reverse as we complete catch-up maintenance and realize the cost synergies that were defined when we announced the acquisition. As we look forward into the second quarter, improving weather conditions could remove some pressure on utilization, but we do anticipate continued recovery in the inland marine sector. The petrochemical build-out continues to progress and more than 20 plants are scheduled to start up in the next two years. Further retirements of aging barges are expected to continue in the range of a 100 or more per year and minimal new-build construction as evidenced by the recent closure of a major shipyard will continue to result in the rationalization of barges in our industry. All of these factors point to continued market improvement, and Kirby is well-positioned to capitalize on this with our expanded fleet. In the coastal sector, market fundamentals remained challenging during the quarter, but overall pricing stabilized. Our coastal fleet utilization was in the high-70% range during the quarter. While recent pricing trends could be a sign that the cycle is bottomed, we continue to expect difficult coastal market conditions for the next year or so. As a result, we took additional action during the quarter to further reduce our cost structure and that included further workforce reductions and temporarily taking more barges out of service. The distribution and services segment had a strong quarter, delivering sequential year-on-year growth in revenue and operating profit. Demand for our oil and gas products and services, including new and remanufactured pressure pumping units and new and overhauled transmissions, was robust throughout the quarter. However, the strong demand did challenge our vendors' ability to deliver key components including engines, transmissions and parts, which are needed to complete orders and recognize revenues. As an example, lead times on new diesel engines, which used to be approximately three to four months, are currently extending out six to nine months. These dynamics resulted in a number of new and remanufactured pressure pumping unit deliveries being delayed. In our commercial and industrial market, we experienced higher service levels for our medium-speed diesel engine repair business throughout the first quarter, as improving market conditions in the inland marine sector contributed to favorable sequential and year-on-year results. In our power generation business, we saw higher demand for nuclear and commercial customers, primarily due to the timing of large projects. This increase, however, was mitigated by the seasonal decline in standby power generation rentals, following the significant hurricane-related demand decline since the fourth quarter of 2017. So now, I'll turn the call over to Bill to discuss the one-time costs in more detail as well as our segment results and the balance sheet.
William G. Harvey - Kirby Corp.: Thank you, David. Good morning, everyone, and thank you for joining us today. Before I cover our segment results, I'd like to start off by discussing the one-time costs that negatively impacted our quarter's results by approximately $0.13 per share. During the quarter, the company incurred one-time transaction costs of $3.3 million or $0.04 per share as a result of the Higman acquisition, which closed on February 14. The company also incurred non-cash expenses related to an amendment to our employee stock plan, which results in shorter expense accrual periods on new restricted stock units and stock option awards for employees that are near retirement and meet certain years of service and age requirements. The amendment of this plan resulted in a charge of $3.9 million or $0.05. Lastly, the company incurred $0.04 per share of severance expenses during the quarter, primarily related to cost reduction initiatives in our coastal marine business and the integration of Higman. I'll now discuss our segment results. In the 2018 first quarter, our marine transportation segment revenue was $340.4 million, which is a decrease of 1% compared to the 2017 first quarter. The decline in revenue was primarily due to lower term contract pricing in both marine markets and lower coastal marine spot pricing. The impact of lower pricing was somewhat offset by improved utilization in the inland marine market and the revenue contribution from Higman. Operating income declined $19.6 million or 55% to $16.2 million. The decline in year-on-year operating income is due to reduced pricing for tank barge transportation in our marine markets and the $3.3 million of one-time expenses associated with the Higman acquisition, $2.6 million of severance expenses and $2.4 million of costs related to the amendment to the employee stock plan. Revenues in the inland tank barge market were higher than the first quarter of 2017, due to the contribution from Higman. Excluding Higman, revenues were down slightly with the impact of lower year-on-year term contract pricing, somewhat offset by increased demand for tank barge transportation and improved utilization due to tight market conditions. During the quarter, the inland sector contributed approximately 75% of marine transportation revenues. Long-term inland marine transportation contracts, or those contracts with term of one year or longer in duration, contributed approximately 70% of revenue, with 58% attributable to time charters and 42% from contracts of affreightment. Contracts that renewed during the first quarter were down in the mid-single digits compared to the 2017 first quarter. However, spot contract rates increased 10% to 15%, both sequentially and year-on-year. During the first quarter, the inland sector generated an operating margin in the low-double digits as it was negatively impacted by the Higman acquisition costs, costs associated with the amended employee stock plan and severance. In our coastal marine market, first quarter revenues declined in the high-double digits compared to the 2017 first quarter, and were primarily impacted by reduced term and spot contract pricing. Regarding pricing, while it is contingent on various factors including geographic location, vessel size, vessel capabilities and the products being transported, average clean service pricing for an 80,000 barrel barge to 100,000 barrel barge declined approximately 10% to 15% compared to the 2017 first quarter. Compared to the 2017 fourth quarter however, both term and spot contract pricing was stable. During the first quarter, the percentage of coastal revenues under term contracts was approximately 80%. The coastal business had a negative operating margin in the low-double digits during the quarter and was also unfavorably impacted by severance expense and expenses related to the employee stock plan amendment. With respect to our tank barge construction retirement plans, in the inland sector we took delivery of one 30,000 barrel tank barge and retired 12, with a capacity of approximately 180,000 barrels during the first quarter. However, we also acquired 161, 30,000 barrel tank barges with a capacity of approximately 4.8 million barrels via the Higman acquisition as well as two pressure barges with a total capacity of 35,000 barrels from another competitor. The net result was an increase of a 152 tank barges to our inland fleet, but a total addition of approximately 4.6 million barrels of capacity. At the end of the 2018 first quarter, the inland fleet had 993 barges, representing 21.9 million barrels of capacity. Additionally, during the remainder of 2018, we expect to take delivery of two 24,000 barrel specialty barges that were acquired through the Higman acquisition and we also plan to retire or return to charters 21 additional barges with approximately 325,000 barrels of capacity. On a net basis before any additional acquisitions, we expect to end 2018 with a total of 974 barges, representing 21.6 million barrels of capacity. In the coastal marine market, we sold one barge with a capacity of approximately 180,000 barrels, closing the quarter with 55 barges, with a total capacity of 5.2 million barrels. Included in the 55 barges are seven barges with a total capacity of 0.6 million barrels that were temporarily taken out of service during the first quarter due to market conditions. We do not plan to build or take delivery of any new barges in 2018. Moving on to our distribution and services segments. Revenues for the 2018 first quarter were $401.3 million. Operating income for the quarter was $37 million, as compared to operating income of $13.7 million in the 2017 first quarter. The segment's operating margin was 9.2% compared with 9.3% for the 2017 first quarter, and was negatively impacted by $1.2 million of costs associated with the amendment to the employee stock plan. The significant increase in our year-on-year financial performance can be largely attributed to the incremental contribution from S&S. Favorable oilfield market fundamentals also drove strong demand for Kirby's new and remanufactured pressure pumping units, new and overhauled transmissions and new engines and parts. However, vendor supply chain bottlenecks reduced the availability of new engines, transmissions and parts and delayed our deliveries of pressure pumping units. In our commercial and industrial distribution and services markets, revenues and operating margins improved compared to the 2017 first quarter. We also experienced increased orders and higher service levels for marine diesel engines overhauls, equipment and parts, both sequentially and year-on-year. Service activity at the power generation market was stable year-on-year, but mixed compared to the 2017 fourth quarter as a seasonal decline in rentals of standby power generators was partially offset by higher service levels for major nuclear and commercial customers. Turning to the balance sheet. To support the growth in the D&S segment, there was a significant investment in working capital during the first quarter as well as of March 31, 2018 total debt was $1.42 billion, a $431 million increase versus the end of 2017, mainly a result of the Higman acquisition and the purchase of two pressure barges. The additional debt resulted in a higher interest expense of $9.8 million during the first quarter compared to $7.2 million in the 2017 fourth quarter. Our debt to cap ratio at the end of the first quarter was 31.2%, a 7% increase from December 31, 2017. At the end of last week, our debt was approximately $1.39 billion. As previously stated, Kirby remains committed to maintaining our investment grade ratings and retaining a conservative capital structure to the cycle. As such, we intend to prioritize the leveraging with our free cash flow with a goal to get our leverage ratio down by the end of 2018. I'll now turn the call back over to David to discuss our guidance for the second quarter and the remainder of the year.
David W. Grzebinski - Kirby Corp.: Thank you, Bill. In our press release yesterday afternoon, we announced our 2018 second quarter guidance of $0.30 to $0.50 per share and we provided our full year 2018 updated guidance of $2.15 to $2.65 per share, which is down from our previous guidance of $2.50 to $3 per share. Both of these guidance ranges include approximately $0.30 per share of expenses related to Joe Pyne's retirement as Executive Chairman of the board. The full year guidance also reflects the $0.05 per share impact of the non-cash expenses related to the amendment of the employee stock plan in the first quarter. All that said, operationally, our expected guidance for 2018 is unchanged. In the inland marine transportation market, we expect our utilization, which now includes Higman, to be in the low to mid-90% range for the second quarter and for the remainder of the year. We anticipate the continued industry tank barge retirements, minimal new tank barge construction, and higher customer demand together will yield high industry utilization for the duration of 2018. As a result, we continue to expect to realize modest mid-single-digit pricing improvement on term contracts renewed in the second half of the year. The low end of our guidance range assumes minimal term contract pricing improvements in 2018 and the high end assumes mid-to-high single-digit pricing improvement in the second half of the year. We expect our revenue mix to be similar to the first quarter with term contracts representing approximately 70% to 75% of revenue and spot contracts making up the balance. Regarding Higman, we continue to anticipate that this acquisition will be earnings neutral for the first 12 months. However, during the second quarter, we will continue to incur some additional maintenance and other costs as we integrate their fleet and perform previously deferred maintenance. In the coastal market, we expect utilization in the high-70% to low-80% range for the remainder of 2018. Our guidance range assumes a stabilized pricing environment in this market for the remainder of 2018, with no material change in market fundamentals in the near term. Overall, we continue to expect full year 2018 marine transportation operating margins to be only slightly down when compared to 2017, reflecting the full year impact of lower term contract pricing from last year and the initial Higman acquisition headwinds. The second half of 2018 should reflect higher term and spot pricing and improved Higman performance, as well as lower costs in our coastal business. For our distribution and services segment, we expect continued favorable demand for our oil and gas products and services, which represent about 60% of our distribution and services revenues. Industry experts predict that another 2 million to 5 million horsepower of pressure pumping capacity is needed in North America to meet demand requirements over the next one to two years. We are confident that our world-class United Holdings and Stewart & Stevenson businesses integrated and working together will meaningfully participate in these incremental opportunities. However, we expect that we will be somewhat constrained in 2018 by vendor supply chain bottlenecks, which are contributing to significant delivery days of new engines, transmissions, and parts. These delays combined with the new revenue recognition standards are likely to result in a somewhat more volatile quarterly results going forward. In our commercial and industrial markets, we expect seasonal declines in our marine medium-speed diesel engine services business and in the nuclear and commercial power generation businesses during the second quarter. These businesses are expected to rebound together with increased seasonal demand for the third and fourth quarters. Overall, we continue to expect operating margins in our distribution and services segment to be in the high-single digits during 2018. Full year capital spending net of acquisitions is now expected to be in the range of $200 million to $225 million, which is up approximately $10 million from prior guidance, primarily due to capitalized maintenance at Higman. Before I conclude, as a reminder, we will be hosting an Analyst Day in Houston, including dinner with management on the evening of May 14, and presentations, Q&A and tours throughout the day on May 15. Our event will focus on marine transportation and distribution and services with visits to key facilities in both segments and opportunities to interact with the management teams. Segment presentations will be webcast; however, if you'd like to attend, please contact Eric Holcomb for more information. So now, let me sum things up. Although our first quarter results were impacted by a variety of costs, our core operational performance was aligned with expectations, with strength in distribution and services helping to more than offset extensive weather delays in inland marine and continued weakness in coastal. As we look forward, although our coastal business will struggle in the near-term, it is probably bottomed and our growing inland marine and distribution and services businesses are both well-positioned to capitalize on robust demand for the foreseeable future. We are moving quickly to integrate Higman and expect this acquisition to be accretive to earnings in the second half of the year. Our balance sheet remains strong and while we will utilize free cash flow from operations to delever, we will continue to seek disciplined and strategic acquisitions to strengthen our fleet and enhance our long-term earnings potential. So I'll conclude and I'll turn the call over to Joe Pyne for some final remarks.
Joseph H. Pyne - Kirby Corp.: Thank you, David. On Tuesday, we announced that I was stepping down as the Executive Chairman of Kirby at the end of April, but would remain as Kirby's Chairman of the board of directors. While I'll be less involved in the day-to-day operations of the company, I do intend to be an active Chairman, helping David with company strategy and the industry relationships which I've built over many years. I've had the pleasure of working for Kirby for over 40 years. First, running the marine transportation subsidiary and later as the President and Chief Executive Officer and then as Chairman. When I first came to work for Kirby, it was known as the Kirby Exploration Company, it was principally an oil and gas exploration company, which owned a small marine subsidiary named Dixie Carriers. This subsidiary ultimately became the business, which Kirby is today. When I was named President of Dixie Carriers in 1984, it represented approximately $35 million of Kirby's revenues, operated 27 boats and 49 barges and owned a small diesel engine company, which serviced marine engines. Today, this company is close to $3 billion in revenue, operates over 360 boats and over 1,050 barges and is a large sophisticated supply and distribution company focused on engines and oilfield equipment. The company now employs approximately 5,700 employees. The company's success has been the result of its board of directors, management team and employees working hard every day; first, transitioning the company from an oil and gas exploration company in 1988 and then building the business it is today. We've been blessed with many amazing employees who helped this happen. It is clearly a team effort and I'm honored to have been a part of it. Kirby has a very interesting history, which goes back over 100 years. As shareholders you're not buying history, you're buying the company's future. I'm very excited about Kirby's future. Inland tank barge market is recovering, rates are rising and the fleet is moving nicely into balance. The coastal market, although is still depressed, is bouncing on the bottom with some green shoots beginning to appear. The economy is steady and producing demand for the cargoes we move. Our distribution and service business is in full gear, with steady demand for new and rebuilt equipment. The acquisitions, which we completed over the last several months, including Stewart & Stevenson and Higman Marine, have also positioned the company to do very well in the future. Both businesses marine transportation and distribution and services are improving. Our acquisitions add strength and depth to our two business segments. Higman provides a young fleet working for excellent customers and improves our flexibility to service these customers and to capture additional operating synergies. Stewart & Stevenson expands our geographic scale, increases manufacturing capacity and diversifies our service portfolio. Our balance sheet continues to be strong, investment grade rated and positions Kirby to take advantage of future opportunities as they arise. We've also included the transition to the new management team at Kirby. David now has been our CEO for four years. Christian O'Neil has replaced Bill Ivey as the President of the Marine Transportation Group. Joe Reniers is the President of the new Distribution and Service business. And Bill Harvey is our new Chief Financial Officer. This team will very capably lead Kirby at least for the next decade. It brings new energy and competence to the company. I'm very confident that Kirby is in excellent hands going into the future. Although I will be less active, I will remain as Kirby's Chairman and look forward to working with the company to continue to create value for our shareholders. I want to thank the many Kirby employees who made my success possible, our shareholders who supported the company and our board of directors who guided Kirby to become the company it is today. Operator, this concludes our prepared remarks. We're now ready for questions.
David W. Grzebinski - Kirby Corp.: Okay. Before we take the first question, I'd like to have Bill Harvey clarify a little bit on our guidance. I know it's a bit confusing between GAAP and the one-time charges. So, I'm going to ask Bill to come back in and actually clarify that and make it a little more clear. Bill, please?
William G. Harvey - Kirby Corp.: Sure. Thanks, David. Yeah. Again, we wanted to ensure that the guidance we gave in the press release is well-understood. The range of $2.15 to $2.65 for the year, our range is a GAAP number. It includes the special items, the Higman acquisition costs, the amendment to the employee stock plan, severance and the charge we are going to take in the second quarter associated with the retirement of Mr. Pyne. I'd note, however, that those charges are in our numbers, but we only moved our range down for the amendment to the employee stock plan and the charge we're going to take in the second quarter related to the retirement. We felt that the other two charges, given the strength of the inland marine market and the success of the Higman acquisition, we will make up through the year, and of course on the severance charge we took that has lowered the cost of the company going forward, and we believe we can make that up through the balance of the year. So, again, our adjustment on our range only reflected $0.35 and including those two items and the other two we're going to make up through the year. And with that, I'll pass it back to the operator for questions.
Operator: Thank you, sir. And the first question comes from Jon Chappell from Evercore. Please go ahead.
Jonathan Chappell - Evercore Group LLC: Thanks very much. Joe, pleasure working with you the last 15 years, look forward to keeping the dialogue going both as the Kirby Chairman and on the DHT board. David, first question for you, on the inland side, obviously, the pricing commentary I thought was pretty favorable. When you talk about that mid-single-digit term increase expected for the second half of the year, can you help us think about then as you mark-to-market the remainder of the contracts, is that the same type of level we should be looking for 2019, I guess kind of all else equal? And then kind of a quick follow-on to that too. If the spot pricing momentum that you saw late first quarter actually continues to build momentum, could we be looking for potential double-digit increases as early as the second half of the year as we talk about term?
David W. Grzebinski - Kirby Corp.: Yeah. The short answer is maybe, which I know it's not a very clear answer. But let me just put the spot pricing in context of contract pricing. You know all of last years spot pricing was very low kind of at cash breakeven and in some cases, it's finally moved back up as we said on our call 10% to 15% in the quarter, which is very encouraging. The business continues to be busy for a lot of reasons, right. Of course, we had a little bit of weather. But look the U.S. economy is doing better. Crude pricing is better. There's a little more crude moving on the water. Crack spreads are better. Chemical price realizations seem to be pretty good. There's 20 new plants coming online in the next 12 to 24 months. So, demand is positive and then supply has been rationalizing. We've had people taking barges out of circulation and retiring them and also not a lot of new building going on, which is good. So, from a supply and demand picture, we're in balance and we've remained pretty tight. Weather is getting better and we're still as an industry, our belief is remaining pretty tight. So, this momentum could carry, could build. But for contract pricing, we need spot pricing to be above contract pricing. I think spot's kind of got to where contract pricing is now and if spot continues to build, then contract pricing will start to roll over to higher levels. The magnitude of that remains to be seen, but right now I'd say the fundamentals and the dynamics in the industry are very positive and it's all good. The demand continues to be pretty, pretty strong and supply is in check and so, it's a pretty good environment right now. Now as that carries into 2019, look, it needs to happen, you can imagine what our industry has been through for the last several years, almost three years, it's been pretty rough and rates need to get back up to where the industry can invest in equipment again and that's the – so the long answer or the short answer to this long rambling answer is that, yeah, rates should continue to go up and 2019 should be better, it needs to be better for the industry to continue to replace equipment.
Jonathan Chappell - Evercore Group LLC: All right. That's very helpful answer. And then for my follow-up, trying to get a little more clarity on the bottleneck or the supply chain issues with diesel engine services, and is there any way to kind of quantify the impact of that in the first quarter and assuming probably not but hopefully? Let me ask it another way too is hearing some concern about like the bottleneck impact on the rest of the year, but it was obviously there in the first quarter as well. So as you think about the guidance in the rest of the year, do you think the supply chain issues will be more impactful than it was in the first quarter or less impactful or about the same?
David W. Grzebinski - Kirby Corp.: Yeah. Our hope is they'll be about the same. The good news I think with the kind of the supply chain constraints and you're seeing it, our customers are seeing it with sand and other things as well. I think it's good. It's going to prolong the cycle, stretch it out a bit. Look, we're seeing it from things like engines and transmissions, all the way to control panels and other pieces that go on these frac units. But the supply chain is responding, but it's doing so ratably. So my view is, it'll probably kind of bounce along the way, it's been then for the first quarter. It could get worse, but I don't think so, it feels like the supply chain is responding. But I think more importantly, this feels like a very sustained longer cycle than we've seen in the past. Shale has not just become the swing producer, but it's now a baseline producer. And as you know some of the offshore projects, they have five-year gestation periods and there has not been a lot of activity offshore. So even if offshore starts to come back, it's going to take years before that production hit. So, our view is pretty positive on the longevity of shale. It's got pretty strong decline curves, but it's the easiest stuff to turn on for the E&P companies. So, that's a long way of saying that we're very optimistic about it. I think the supply chain will respond to it, and they're doing so I think intelligently kind of with rateable production. So all in all, it's very positive.
Jonathan Chappell - Evercore Group LLC: Okay, great. Thank you very much, David, and all the best, Joe.
Joseph H. Pyne - Kirby Corp.: Thank you. Thank you, Jon.
Operator: And our next question comes from Jack Atkins from Stephens. Please go ahead.
Jack Atkins - Stephens, Inc.: Hey, good morning, guys. Thanks for taking my questions. Just to start off...
David W. Grzebinski - Kirby Corp.: Good morning, Jack.
Jack Atkins - Stephens, Inc.: Just to start off, I just want to echo Jon's comments to you Joe and congratulations on your new role within Kirby. And I'll just say that you'll be very much missed on these calls, but I know everyone here is very happy for you as you move forward and wish nothing but the best. So I guess for my first question just kind of going back, David, to your comments on the Higman, could you kind of give us an update on how the integration segment is progressing, just sort of what you're seeing in terms of the initial ability to drive higher levels of utilization at Higman and re-price some of their business? It seems like you're making some good progress out of the gates, would you just love to give a little more color there?
David W. Grzebinski - Kirby Corp.: Yeah. First, let me say, Jack, we are absolutely delighted with the Higman transaction. The quality of the employees that we got with that transaction has just been tremendous. We are really, really pleased with that. Their equipment is actually in pretty good shape, even though as you know they were stressed a bit financially and deferred some maintenance, but overall it's mostly new equipment or gently used equipment if you will, and we're doing some catch-up maintenance. But by and large, the equipment is in pretty good shape. You know their utilization when we bought them was a little lower. We've already because of the market strength been able to put that equipment to work absent the stuff that's getting some maintenance. And then they obviously had some contracts and still do have some contracts that were set when prices were very low, that's going to take some time to roll off, and frankly, that's part of our guidance in both the first quarter and the second quarter. Either think by the – by the third and the fourth quarter of the year, things should start getting better. They also – you know they had about 60% in contract and 40% spot. So, the spot is going to respond a little quicker. Remember when we say spot, we mean contracts less than a year. So some of those contracts could be six months, some could be nine months, some could be three months, some could be even shorter than that. So, it's varying degrees of how quickly things reset. But you know Jack it's all very positive, you know we are – I think we're very fortuitous in the timing of the acquisition and everything we've seen from employees to equipment have been positive. And frankly, the synergies and the synergies are starting to happen in terms of horsepower management in some of the cost savings. So I think it's all setting up for the back half of the year to be – if the year to be accretive, that's part of what's in our guidance. And when Bill said we didn't add back the Higman cost or we didn't reduce our GAAP guidance by the Higman transaction fees and the severance that we incurred, it's because, in part, we think we'll be able to make that up in the back half of this year as the benefits of this Higman transaction continue to emerge.
Jack Atkins - Stephens, Inc.: Okay, great. Great. Thank you for that, David. And then for my follow-up question, just kind of shifting gears and looking at the coastal, the coastal business for a moment, you know very encouraged to hear that, it seems like fundamentals there have at least bottomed and I know there's probably still ways to go before you're willing to get more constructive on your outlook there. But just curious, in terms of what do you think it's going to take to get some improved utilization and pricing momentum back in that market overall? Obviously, you guys have taken a lot of actions yourselves to help improve industry utilization. And when we look at sort of the earnings power of that business, I think ultimately as we move forward, you guys have taken quite a bit of assets out as I was thinking a moment ago. How do you think about the ultimate earnings power for your coastal business today versus looking back to 2014 when we saw the last sort of peak?
David W. Grzebinski - Kirby Corp.: Yeah. Let me take that in pieces, if you will, Jack. First, I think in terms of bouncing along the bottom, and as Joe mentioned in his comments, some green shoots. Look the industry is taking the appropriate steps. We've retired some vessels; some others are starting to do the same. Ballast water treatments requirements are helping that. But also importantly, the crude environment has helped tighten up the MR tanker, the Jones Act MR tanker fleet. And as you know, some of those larger tankers were dipping down into the large barge market. And so, as the MR tankers have gotten a little tighter, that's helped us to get a little better utilization as an industry. Also the U.S. economy is doing a little better. And so, we are starting to see a little demand pickup and then a little supply rationalization, maybe a little more than supply – little more than a little rationalization given the magnitude of what we did. But, hey, look, to get to the second part of your question, we retired 11 barges, many of those were lower in terms of barrel capacity. So you know we haven't put pencil to paper in terms of peak earnings power, but just in barge count, we went from 70 barges to the kind of mid-50s, we're about 55 barges. So you could use that as a percentage in terms of peak, but it's probably less than that because some of the smaller capacity was cut up and the larger capacity is, we still have. So if you look at our barrel capacity decline, that's probably a better metric. I don't have those in front of me, but Eric can get them to you if you want them.
Jack Atkins - Stephens, Inc.: Right. Thanks again for the time.
David W. Grzebinski - Kirby Corp.: Thanks, Jack.
Operator: And our next question comes from Randy Giveans from Jefferies. Please go ahead.
Randy Giveans - Jefferies LLC: Hey, guys, yeah. Thanks for the time and congrats on the solid quarter and Joe congrats on the official retirement. So your press release covered a lot. So just a few quick questions, I know you gave a little more clarity on the guidance. But just to confirm a few things. So two questions, why is there such kind of large range between that I guess $0.60 and $0.80 for 2Q, what are the drivers there, what would cause it to be $0.60, what would cause it to be $0.80...
David W. Grzebinski - Kirby Corp.: Yeah.
Randy Giveans - Jefferies LLC: ... compared to that pricing (44:54)?
David W. Grzebinski - Kirby Corp.: Yeah. Bill and I can tag team this a little bit, but look rev rec is, the changes in that, we used to have POC, and what's happened now is you essentially have completed contract in and it's not just completing the equipment, you've almost got to ship it. So a lot of things can move around in one week and puts a little more variability. And I think the more important thing is to just look at our full year guidance because I think that would average it out. We do realize the $0.20 range is a pretty big range, but a big part of that is rev rec.
William G. Harvey - Kirby Corp.: Yeah. No, I – to David's point. Given the new rules on revenue recognition, you really have to point to in a contract when control passes in that, because that really makes it difficult to forecast exactly when that will occur in a quarter. As we just put in our last press release, we did feel that about $0.05 to $0.10 of what would have been under the old percentage of completion income would have ended up in the second quarter. I think that actually did occur, and we will provide in our 10-Q comparison between the first quarter under the new revenue recognition regime and percentage of completion, just to give you a reference point as to the differences between the two.
Randy Giveans - Jefferies LLC: Okay. And then when you're talking about looking at the full year, so obviously Higman acquisition is still not maybe fully integrated, some seasonal weakness on the D&S side. Would you expect earnings to increase kind of sequentially throughout the quarter as pretty much all your business segments either are improving or at least stable on the coastal side?
David W. Grzebinski - Kirby Corp.: Yeah, that's correct. Again, said another way of our kind of four business lines, you get inland, coastal and distribution and services, we have the oil and gas piece and then the commercial and industrial. I would say three of the four are kind of on an upward trajectory and coastal is kind of bouncing along the bottom. We think it's bottomed and we're hopeful on green shoots, but that's too early to call. So you're right, the quarterly progression is, as you said, because of the upward trajectory of the three other businesses.
Randy Giveans - Jefferies LLC: Okay. All right, then for my follow-up, just quick question. What's the current revenue split between inland and coastal within that marine transportation? I assume it's probably widening as the markets continue to diverge and obviously growing the inland fleet. But for kind of 1Q, what was that split?
David W. Grzebinski - Kirby Corp.: The current split is 75:25.
William G. Harvey - Kirby Corp.: Okay. 75% inland and 25% coastal.
Randy Giveans - Jefferies LLC: All right. Well, that's it for me. Thanks so much for the time. Congrats again.
David W. Grzebinski - Kirby Corp.: All right. Thanks, Randy.
Operator: And the next question comes from Kevin Sterling from Seaport Global. Please go ahead.
Kevin Sterling - Seaport Global Securities LLC: Thank you. Good morning, gentlemen.
William G. Harvey - Kirby Corp.: Good morning.
David W. Grzebinski - Kirby Corp.: Good morning, Kevin.
Kevin Sterling - Seaport Global Securities LLC: Yeah. Joe, let me just echo the sentiments I've enjoyed working with you the past 15 years, and glad to know you'll still be involved with Kirby, because you don't want to be at home too much and drive your wife crazy. I know my wife wants me out of the house as much as possible.
Joseph H. Pyne - Kirby Corp.: That's a certainty. Thank you.
Kevin Sterling - Seaport Global Securities LLC: I speak from experience. David, if you don't mind, you guys integrating the Higman acquisition, it seems like it's going well. But as we've seen this pricing momentum in the business, how does your M&A pipeline look? Is it kind of given maybe a lifeline to some struggling operators that you may have looked at or is the pipeline still pretty healthy?
David W. Grzebinski - Kirby Corp.: I think the pipeline is still pretty healthy. You'll recall and you've heard him – I mean, we can get Joe to chime in here, you've heard Joe over the years, it's usually the pipeline gets better as you come out of the bottom of the cycle. Nobody wants to really sell at the bottom of the cycle unless they're forced to. So, typically, as people are – as the market improves, you get a little better chance, because people are little more willing to look forward and that bid offer spread closes at bit. But, Joe, do you want to comment on that? You've seen it over 40 years.
Joseph H. Pyne - Kirby Corp.: Yeah. I think that what you just said is correct. I also would tell you that Higman was a sale that was essentially forced. So I don't think anybody would want to sell their company at the asset values that Higman did. So you really will need to see the market rise a little more before I think you'll get active interest in selling anything. So I would suggest you six, 12 months you may be in a little better environment than the environment that we're in today.
Kevin Sterling - Seaport Global Securities LLC: Okay. Got you. Thanks Joe for that. Appreciate, especially given your history, appreciate that. David and Joe, let me ask you one more one follow-up question here. Obviously, if we look at the spot market, we've seen an increase, but I think we're also seeing an uptick in crude-by-barge, I believe we're probably anywhere between 300 barges, 350 barges now, moving crude up from maybe 150, but still below the peak we saw in Q4 2014 where it's north of 500. Is that kind of providing an uplift to the spot rates? And I assume I think I believe it's been driven by the spread between WTI and Brent. Does that concern you that we have seen uptick in crude-by-barge in case the spread narrows and then we see that equipment might come back to the petchem market or some of your other traditional markets looking for a home and could potentially pressure spot rates? Does my question make sense??
David W. Grzebinski - Kirby Corp.: No. Yeah, the question makes sense. It's a good question. Yeah. I would say, well, our estimate is not 300 to 350, it's probably between 250 and 300 barges now in crude. But your point is that there are more barges moving crude. That's true. I think the spread helps. But I also think there is some infrastructure problems in terms of crude transportation. It's just not enough pipeline capacity. And again, some of the places, you're not going to get pipeline. So I think the stronger crude environment is helping. It certainly has soaked up some of the capacity or the supply in the market. But there are other things, like the economy is better and certainly, the petrochemical environment is strong and growing. So it's not just crude, crude is probably part of it, but it's a lot more than just that. But it certainly hasn't hurt, which I guess is your point. We're not overly concerned about the crude in this situation back when it was 500, 550, I think it peaked out. That was a little troubling, particularly because we knew pipelines were under construction. This feels a little different than that.
Kevin Sterling - Seaport Global Securities LLC: Okay. Thanks for that, David. I appreciate it. And thanks again for your time this morning. And see you in May.
David W. Grzebinski - Kirby Corp.: All right. Thanks. Thanks, Kevin.
Operator: And the next question comes from David Beard from Coker & Palmer. Please go ahead.
David Earl Beard - Coker & Palmer, Inc.: Hey. Good morning, gentlemen.
David W. Grzebinski - Kirby Corp.: Hey, David.
Joseph H. Pyne - Kirby Corp.: Hey, good morning.
David Earl Beard - Coker & Palmer, Inc.: Joe, hopefully, you'll spend a little more time up in Maine.
Joseph H. Pyne - Kirby Corp.: Yeah. Hope so.
David Earl Beard - Coker & Palmer, Inc.: My question really relates to a little bit of history and where we are in the cycle on inland. You guys obviously know historically with utilization here we did see some better – we would have seen some better rate increases and I think you've described it as there's been a couple of competitors really pressing down rates. Given where we are in utilization and given those competitors are slowly either contracting or getting sold, how do you think this cycle will play out compared to others?
David W. Grzebinski - Kirby Corp.: Yeah. Well, I think, we're coming off of one of the worst down cycles the industry has seen. I think Joe can chime in here, but I think it's – last time it got this bad was probably in the early 1980s.
Joseph H. Pyne - Kirby Corp.: No, I think that's right. It was 1980, 1982 to 1986 was a very difficult cycle. And as you look at us coming out of this cycle, it reminds me of the kind of where we were in 2003 and 2004, where you've came out slowly, but built momentum. And frankly, I think we built momentum through 2014. The anomaly was the financial crisis, which collapsed volumes, but the market recovered pretty quickly and from my perspective, too quickly, because it gave this false sense of business, which is going to go on forever when people built, we're in the 2003, 2004, 2005 cycle really through the end of 2008, you just had every year rate on – rate improvements and the longevity of the cycle was a lot longer. So, yeah, I feel or sense that we're really coming out of it the right way, you don't want to see rates spike back up to over $8,000 a day overnight because that encourages building that you don't want, but I think as rates go through the 7s and I would fully expect that that would happen this year. They'll continue to build over a period of years and we'll have a longer, more sustainable, and frankly higher peak than we saw in the last peak, which was probably 2014.
David Earl Beard - Coker & Palmer, Inc.: Good. That's helpful. And then turning a little bit in the weeds relative to capital spending, it seems like there has been some catch up on the facility side, but also a little bit of deferred maintenance on Higman. Was some of the stuff anticipated or do you think a little more than you guys expected or how would you kind of characterize the deferred maintenance?
David W. Grzebinski - Kirby Corp.: Oh, I would say it is as anticipated. With Higman, we knew we'd had some catch-up maintenance and some of it gets capitalized, some of it gets expensed as we look back at our model and we just did this, it's kind of as expected. So, nothing surprising there. And in terms of facilities, we're – in distribution and services, we are investing a little bit in the facilities, there are some areas that you can imagine around the Permian and other places where a little bit of facility investment can go a long way. So, that's a bit in our CapEx guidance, but it's not over the top or anything like that. It's all thoughtful and has some really good prospects to enhance business and earnings.
William G. Harvey - Kirby Corp.: Yeah. And we had a – the original guidance was before Higman and we wanted to really take a hard look before we move the guidance and that's why we waited until now.
David Earl Beard - Coker & Palmer, Inc.: Great. I appreciate the time and all the color. Thank you, gentlemen.
David W. Grzebinski - Kirby Corp.: Hey, thanks, David.
Operator: And our next question comes from Bill Baldwin from Baldwin Anthony Securities. Please go ahead.
William L. Baldwin - Baldwin Anthony Securities, Inc.: Good morning.
David W. Grzebinski - Kirby Corp.: Hey. Good morning, Bill.
William L. Baldwin - Baldwin Anthony Securities, Inc.: David, I wanted to ask you, if you're seeing any perceptible change in attitude on the part of your petrochemical customers as they look out over the next 12 to 24 months with these new plants and they see utilization picking up, are they beginning to want to come to the table and talk more now about their longer-term capacity needs?
David W. Grzebinski - Kirby Corp.: Yeah. It's mixed depending on the customer. Yeah, it's probably not best for me to point out the customers, but well, one, I think they are very positive, all the petrochemical operations even with the integrated companies are very, very positive. With the tax reform that has only made them more positive about doing more here in the U.S. and building more, I think to a customer, they've expanded their capital spending since tax reform. So, also ethane prices seem to be holding, the shale production continues to produce gas and ethane, and really give the U.S. petrochemical companies a huge feedstock advantage. So we're very excited about what they're saying. And some of them are being very forthright about their capacity needs for barging, whether it's very specific or in generalities, but those discussions are happening. Some customers as you know are very close – closed and keep their thoughts pretty close best, but others are talking about their longer-term needs and how they're growing. So, it's a mixed bag.
William L. Baldwin - Baldwin Anthony Securities, Inc.: And secondly, David, in terms of your – see an increased demand, maybe you said this, but can you definitely indicate that some of this increased demand is coming from the incremental petrochemical capacity, that's already come on, and you're seeing it now in your movements.
David W. Grzebinski - Kirby Corp.: Absolutely, absolutely.
William L. Baldwin - Baldwin Anthony Securities, Inc.: Very good. And lastly, Joe, of course, it's been great working with you over the years. Sure enjoy it, and it's been my pleasure.
Joseph H. Pyne - Kirby Corp.: Well, thank you, Bill. I feel the same.
Eric Holcomb - Kirby Corp.: All right, cool. At this time, we've run out of time, so we'd like to close out the call, and I thank everybody for joining the call today. If you have any questions, feel free to give me a call at 713-435-1545. Cole, you can close it out.
Operator: Thank you. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.